Operator: Good day and thank you for standing by. Welcome to the FactSet Fourth Quarter Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Kevin Toomey, Head of Investor Relations. Please go ahead.
Kevin Toomey: Thank you and good morning, everyone. Welcome to FactSet's Fourth Quarter and Fiscal 2025 Earnings Call. Before we begin, the slides we reference during this presentation can be found through the webcast on the Investor Relations section of our website at factset.com. A replay of today's call will be available on our website. After our prepared remarks, we will open the call to questions. The call is scheduled to last for 1 hour. [Operator Instructions] Before we discuss our results, I encourage all listeners to review the legal notice on Slide 2. Discussions on this call may contain forward-looking statements. Such statements are subject to risks and uncertainties that may cause actual results to differ materially from results anticipated in these forward-looking statements. Additional information concerning these risks and uncertainties can be found in our Forms 10-K and 10-Q. Our slide presentation and discussions on this call will include certain non-GAAP financial measures. For such measures, reconciliations to the most directly comparable GAAP measures are in the appendix to the presentation and in our earnings release issued earlier today, both of which can be found on our website at investor.factset.com. During this call, unless otherwise noted, relative performance metrics reflect changes as compared to the respective fiscal 2024 period. Also consistent with the past 3 quarters, please note that in fiscal '25, FactSet started reporting organic ASV rather than organic ASV plus professional services to focus on the recurring nature of our revenues. Joining me today are Sanoke Viswanathan; Helen Shan, Chief Financial Officer; and Goran Skoko, Chief Revenue Officer. I will now turn the discussion over to Sanoke Viswanathan.
Sanoke Viswanathan: Thank you, Kevin and good morning, everyone. Thank you for joining us today. I'm Sanoke Viswanathan and I'm honored to speak with you as the new CEO of FactSet. I want to begin by recognizing Phil Snow for his remarkable leadership. Over more than 3 decades, Phil has helped propel FactSet into a global leader in financial data and analytics, scaling our business to well over $2 billion while staying relentlessly client-focused and innovating with purpose, establishing the company as an industry leader. He leaves behind the legacy underpinned by our open platform, superior client service and deep workflow integration. We are all grateful and I'm personally inspired to build on that legacy. Let me share why I'm here and what excites me about FactSet's future. We are at a strategic inflection point in our industry. AI and data-driven innovation are transforming how financial institutions operate, invest and serve clients, which is driving increased demand for quality data. My career has always been at the intersection of finance and technology and I believe the next decade is going to be defined by those companies that can deliver trusted, integrated financial intelligence to their clients. I've been a FactSet client for years and have been studying the company deeply for the last 6 months and I believe we have a unique opportunity to become the leading AI-powered financial intelligence platform for our clients. In my first week here, I've visited our major offices and met hundreds of colleagues. I'm inspired by the energy and passion across our teams to continue innovating and rolling out new products, data sets and solutions for our clients. I've kicked off reviews of our product road map and client implementations, including various AI initiatives. I've also been welcomed by dozens of senior clients and partners that are keen to explore opportunities for growth. This last week has reinforced my long-held beliefs that I'm sure you all share as many of you are also direct users of FactSet solutions. #1, we provide unparalleled client service. Clients like their FactSet consultant and count on them to be their trusted partner when it comes to resolving the most complex and sophisticated questions. This level of client conviction and trust has been earned by delivering high-quality solutions for decades anchored in deep domain expertise and a client-centric culture. The passion for client service runs throughout the company and I see it in my leadership team, most of whom started their careers as FactSet consultants. #2, we are deeply embedded in our clients. Across the buy side, dealmakers and wealth clients, we are used in their front, middle and back offices to execute complex tasks every single day. Our data, tools, insights and solutions help clients research and create new business opportunities, perform complex analyses and execute transactions in the front office. We run performance, attribution and risk analytics for over 6 million institutional client portfolios every night and help streamline reporting and operations, minimize risk and drive productivity. We also integrate more than 15 million wealth portfolios, enabling advisers to monitor their books of business like never before. We have a great starting point as an enterprise partner to enable clients to transform and even disrupt their existing workflows. And this is evident in our recent performance. #3, we are uniquely geared for collaboration. FactSet's open architecture is fundamentally designed to enable clients to combine their own proprietary knowledge with FactSet's proprietary data sets and insights and with other third-party data our clients see value in. We are cloud native, think API first and partner every day with hundreds of data providers worldwide. We are not bogged down with legacy integrations or business model conflicts. This is a huge advantage when it comes to implementing AI and agentic workflows at scale with dozens and hundreds of integration points up and down the technology stack and across the ecosystem of our clients. In sum, I believe we are extremely well positioned to become the leading AI-powered financial intelligence platform for our clients. I recognize there is significant work ahead of us as AI continues to transform our industry and creates new competitive dynamics. As I look ahead, my focus will be on engaging with clients on their top priorities and continuing to build my knowledge base about FactSet's data, tools and services. I will be working closely with my leadership team to refine our long-term vision and strategy and product road map with particular emphasis on AI. We are operating from a position of strength. FactSet has a long track record of profitable growth, a differentiated position in the market and a distinct value proposition for our clients. With more than $600 million of free cash flow and a strong balance sheet, we are able to invest confidently in our future. Given the growth we are experiencing, combined with the significant opportunity ahead of us, we are continuing to invest in the business this year and Helen will share more details shortly. I believe in a disciplined measured approach to investing for long-term growth, guided by the needs of our clients and focused on generating attractive returns for our shareholders. I look forward to partnering with clients, colleagues and shareholders and sharing more of my vision in the spring. With that, I'll turn it over to Helen to discuss our Q4 performance and FY '26 outlook.
Helen Shan: Thank you, and good morning to everyone on the call. Let me start by welcoming you, Sanoke. I look forward to working with you for the next phase of FactSet's journey. It's going to be an exciting time for everyone. With that, I will now share fourth quarter and full year fiscal 2025 results. This year has been marked by change in the markets, in economic policies and in technology. Against this backdrop, FactSet continued to perform well, executing against our plan and finishing fiscal 2025 with strength. We made meaningful progress against our multiyear AI road map, embedded FactSet deeper into client workflows by integrating LiquidityBook for seamless buy-side trading and added Irwin to serve corporate IR needs, all while continuing to advance our open platform strategy. For FY '25, we added $127 million of organic ASV, which is near the top end of our guidance range. Annual revenue increased to $2.3 billion, while adjusted operating margin was 36.3% and adjusted EPS grew to $16.98, all comfortably within our guidance ranges. We anticipate a better performance in the second half of the year and I'm really pleased to report excellent fourth quarter results. Our Q4 organic ASV of $81.8 million was the largest quarter in the company's history, representing a sequential acceleration in growth to 5.7%. This improvement was fueled by recent wins in wealth and asset management, underpinned by increasing demand for our data solutions. For Q4, product drivers came from data, wealth solutions and our analytics suite. Within data, demand for real time and benchmarks was significant for the buy side. We're pleased with the early success of our investments in AI as a number of trials were converted into signed deals in the quarter. We have top line momentum as we close fiscal 2025. With that, let's review the quarterly results in more detail. Starting with our regional performance. In the Americas, organic ASV growth this quarter accelerated sequentially to 6%. What was encouraging was the breadth of growth with asset managers increasing their technology investments and wealth continuing to be a standout performer with our platform capturing share from legacy providers. In EMEA, organic ASV growth improved to 4%. We executed on strategic wins this quarter, including a competitor displacement at a large asset manager. While we are seeing a recovery in the U.K. market, midsized asset managers and asset owners in the region continue to face secular headwinds. Importantly, we're using this period to deepen our relationships and expand our footprint within existing accounts. In Asia Pacific, organic ASV growth increased 7% this quarter. While we faced pricing pressures in some markets, we're offsetting this through solution expansion and new client acquisition. The demand for middle office solutions and AI-ready data is strong here as firms modernize their operations to compete globally. Our workstation growth reflects increasing adoption by local and regional players who recognize they need institutional-grade tools to serve sophisticated clients. Across all regions, we're seeing the same trend. Clients are consolidating vendors and choosing platforms that can deliver integrated AI-enhanced workflows. Clients want comprehensive solutions that transform how they operate. Now turning our results from a firm type perspective. Wealth delivered strong Q4 performance with continued organic growth at greater than 10%, fueled by 7-figure deals, including 2 competitive displacements. We successfully captured market share from incumbent providers while driving higher expansion through our real-time and markets data offerings. Our land and expand strategy is proving effective as existing desktop clients increasingly adopt our data feeds and digital solutions. Off-platform ASV with wealth clients grew more than 50% year-over-year, continuing to expand our enterprise footprint outside of the wealth workstation. For FY '25, dealmakers organic ASV grew 4% year-over-year. Banking delivered strong quarterly results as clients are expressing confidence in our AI road map and choosing FactSet as their partner of choice in their own AI journey. With multiyear contracts securely in place with all of our top 15 largest banking clients, including all of the global bulge bracket banks and leading independent banks, we are leveraging our long-standing C-suite relationships to position for growth across the client's enterprise. Our banker productivity tools continue to drive demand with Pitch Creator, LogoIntern and our market-leading office integration solutions helping both retention and expansion. Lastly, improved market conditions led to better lateral and summer hiring trends as experienced across our bulge bracket clients. Outside of banking, PE/VC and corporates also performed well during the quarter. The integration of Irwin and FactSet provides IR users with an end-to-end workflow solution, which is driving seat count growth and accelerating cross-sell momentum as we expand further into the office of the CFO. Back in June, we noted that most of our Q4 pipeline was from the institutional buy side. It delivered its largest quarterly ASV increase on record, accelerating FY '25 organic ASV growth to 4%. This increase reflects stronger demand for our analytics solutions in the front and middle office and especially for data. Asset managers experienced strong growth with multiple 7-figure wins with improvement in both retention and expansion. Hedge funds growth accelerated for the fifth consecutive quarter, driven by demand for data, our portfolio life cycle offering with LiquidityBook and StreetAccount. Asset owners stabilized from last quarter, with acceleration driven by an increase in demand for our data solutions and strength in the middle office. Growth in Partnerships and CGS accelerated to 8% in FY '25, reflecting significantly improved retention, continued high issuance activity and demand for our proprietary data offerings. Our results reflect in part the strategic investments we made throughout the year. We expanded our data content with real-time feeds, benchmarks and aftermarket research to create a more differentiated workflow-ready data universe and we immersed AI into our solutions and launched 6 distinct offerings that help automate complex tasks and enable future agentic workflows. These initiatives improved renewal rates, expanded client opportunities and contributed approximately 2/3 of our organic ASV growth acceleration this year. These investments positioned us well to compete effectively in a challenging environment. While we're encouraged by this quarter's momentum, we recognize that our success came against the backdrop of tight client budgets and evolving market dynamics. Clients are being strategic in their technology investments and look for battle-tested solutions with institutional credibility. This selectivity can mean longer sales cycles and rigorous scrutiny but our performance reflects 2 key differentiators, the quality and breadth of our data and technology. Our competitive advantage starts with something that simply cannot be replicated easily, decades of curated, connected financial data that improves every day. Here's what's changed. We're not just collecting more data, we're making it exponentially more valuable through AI enhancement and real-time integration. Our largest client wins this year demonstrated strong positioning. [indiscernible] direct displacements at wealth and buy-side clients, 3 involved replacing clients' internal solutions and 1 was a new managed services mandate for an existing client. Our largest losses tell a different story with 2 clients acquired by other companies and 2 strategic cancellations we initiated in Q2, as we noted on a prior call. Importantly, we secured large renewals early, especially with premier global banking clients, generating momentum and pipeline visibility for fiscal 2026. FactSet's ongoing investments in AI and continued progress driving tangible workflow improvements is being recognized by our largest clients who are placing increased value in working alongside trusted partners to navigate the integration of AI advancements into their own businesses. This success translates into improved quality in our ASV. While annual price increases contributed less this year due to lower CPI, significantly stronger retention largely offset this impact, demonstrating that our products are mission-critical and our investments to enhance our data and incorporate AI into our offerings are resonating with clients. We've also steadily improved expansion with existing clients each quarter this year, while new business growth accelerated in the second half. We continue structuring competitive multiyear deals to win new logos when the total contract value creates strong customer lifetime value. As a result, our client count grew to 9,000, nearly a 10% increase year-over-year, driven by additions in corporate and wealth clients. Notably, we now have over 237,000 users with wealth driving growth in Q4 and for the full fiscal year. Turning now to financial results. Fourth quarter revenues increased 6.2% year-over-year, reaching $597 million. In fiscal 2025, we delivered 5.4% overall revenue growth and 4.4% on an organic basis, marking more than 45 consecutive years of top line growth. This track record demonstrates our resilience and consistent performance throughout market cycles. Alongside top line growth, we continued disciplined expense management in Q4 to help self-fund our strategic investments while absorbing acquisition-related dilution. On an adjusted basis, operating expense for the quarter grew 9.5% year-over-year. People-related expenses increased $27 million or 13%, primarily due to higher bonus accruals and workforce expansion, which included employees from our Irwin and LiquidityBook acquisitions. Our headcount grew less than 2% in the quarter, primarily in low-cost locations. Technology expenses grew $8 million or 13%, reflecting higher internal use software amortization and increased cloud and software spend. As stated, we are concentrating our spend in AI capabilities to maintain market leadership through product innovation. We have effectively managed our other major expense categories. Third-party content costs increased $3 million versus the prior year, reflecting investments made in new data sets to support the research workflow while real estate expense rose $2 million due to renewed leases and return to office expenses. Lower other expenses reflect better receivables collection and decisions to reduce discretionary spend. These efforts resulted in an adjusted operating margin of 33.8% for Q4. Adjusted earnings per share in the fourth quarter rose 8% on a year-over-year basis to $4.05, helped by a lower tax rate and a reduced number of weighted shares. For a detailed breakdown of our expense progression from revenue to adjusted operating income and reconciliations of adjusted results with comparable GAAP measures, please reference the appendix in today's earnings presentation. On capital allocation, we repurchased approximately 260,000 shares for $107 million during the quarter, concluding our $300 million fiscal 2025 share repurchase program. As of September 1, we began executing against the new $400 million share authorization program approved by the Board in June. We paid a quarterly dividend of $1.10 per share today to shareholders of record as of August 29. As a reminder, we increased our dividend by 6% in Q3, marking our 26th consecutive year of dividend increases on a stock split adjusted basis. Combined, we returned over $460 million to shareholders in fiscal 2025 through dividends and share repurchases, demonstrating our consistent commitment to delivering shareholder value. We strengthened our balance sheet by reducing our term loan, achieving a gross debt leverage ratio of 1.5x, which provides significant financial flexibility. As part of our ongoing portfolio review, we divested RMS Partners, a noncore sell-side research platform within our dealmakers offering just before fiscal year-end. This divestiture enables us to concentrate resources on our core growth areas. It led to a onetime gain recognized in our GAAP results that had no material impact on our adjusted results in FY '25. To clarify, RMS Partners is distinct from our leading buy-side research management solution. We remain committed to our internal research notes offering for institutional buy-side clients, where our core workstation now features AI-powered workflows designed to enhance research efficiency and insight generation. We're already seeing early positive signals from our past year's investments and we plan to lean into areas where clients have demonstrated strong demand and where we can achieve clear outcomes. For fiscal 2026, we'll continue building on our momentum while investing for future growth. We're executing on data expansion efforts, widening our real-time and pricing reference data capabilities while extending proprietary data coverage across deep sector, such as in TMT, power and utilities. We're embedding deeper into client workflows through our portfolio life cycle solution, further integrating OMS and IBOR to our platform. And we plan to simultaneously develop a comprehensive suite of AI-ready data and our own agentic platform as part of our multiyear AI road map. These investments will support growth in fiscal 2026 across all of our firm types. Wealth remains our growth engine. While we expect to continue to capitalize on competitor displacement opportunities, we plan to expand our offerings in both data feeds and analytics solutions, which include risk and OMS to meet the growing sophisticated needs of the advisers. We expect that buy side will benefit from the integration of LiquidityBook, enabling us to fulfill larger portfolio life cycle opportunities across performance, reporting and trading. We expect our markets, pricing and reference and benchmark data feeds to continue to drive top line growth. We expect the enhanced offerings in our deep sector data and aftermarket research to support dealmakers growth, allowing us to expand to other banking teams such as TMT and credit risk. Our clients should further benefit from the AI capabilities we provide to enhance their workflows. Our AI-ready data enhancements benefit all firm types, including partnerships. We're strategically managing relationships with a growing number of AI start-ups used by our clients. We've maintained control over commercial relationships with our clients and have protections in place for our intellectual property. Moving forward, we plan to carefully balance content monetization through select providers while preserving our direct market presence and revenue streams. We expect to accelerate our focus on productivity. With the help of AI, we've been able to increase the speed of our content collection and expand our coverage in both StreetAccount and CallStreet. Applying what we've learned from developing AI solutions for our clients, we plan to invest to improve client service, reduce our technology [ gap ] and further strengthen our infrastructure in areas such as data connectivity and cybersecurity. Experience in AI implementation reveals that quality data and middleware are not expenses but essential investments as companies who do not prioritize these foundations can face costly delays and challenges in capturing future benefits. With that context, let's discuss our fiscal 2026 guidance. We anticipate continued strong demand for our solutions. Our outlook is supported by a first half sales pipeline that's comparable to last year. We expect continued momentum in wealth, in-line activity in banking and partners and stability in the buy side. Given these dynamics, we're guiding to organic ASV growth of $100 million to $150 million, representing approximately 5% growth at the midpoint. We are taking a conservative approach to our guidance to reflect the current environment of longer sales cycles and more rigorous client approval processes and not due to reduced confidence in our competitive positioning or market demand. GAAP revenues are expected to be in the range of $2.42 billion to $2.45 billion. We expect GAAP operating margin range of 29.5% to 31% and adjusted operating margin of 34% to 35.5%. This range incorporates expectations of higher technology and content costs and targeted investments in wealth and buy-side workflows. We expect some of these anticipated increases to be partially offset by productivity gains and cost discipline. Our wider margin provides us the flexibility to invest more if opportunities exceed expectations. Our GAAP EPS guidance range is from $14.55 to $15.25. Our adjusted EPS guidance range is from $16.90 to $17.60. For fiscal 2026 modeling purposes, net interest expense is expected between $43 million to $48 million. Capital expenditures are projected at $110 million to $120 million. Effective tax rate is projected to be between 18% and 19%. As we enter fiscal 2026, we're positioned at an inflection point where our strategic investments are beginning to translate into measurable competitive advantages. The convergence of client demand for workflow integration, data modernization and AI-enabled solutions creates a compelling opportunity for FactSet to expand our market presence while deepening existing client and partnership relationships. We're not expecting dramatic market shifts to impact our growth. Instead, we're methodically building capabilities that address genuine client needs while positioning FactSet to capitalize on secular trends, reshaping how financial professionals access, analyze and act on information. This measured approach, combined with our established market presence and proven execution capabilities, forms the foundation for sustained value creation in the years ahead. Thank you for your time today. We'll now open up the call for questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Alex Kramm with UBS Securities.
Alex Kramm: Welcome Sanoke to the call and the company. I'm actually going to start with the margin question. So I guess this is more for Helen but maybe you can start by maybe breaking down how much of the kind of margin decline is really due to incremental investing versus just cost inflation and where those investments are ultimately going in terms of new projects? And then looking a little bit further ahead, I know this is fiscal year '26 beginning but do you view this as a onetime kind of investment phase? And when we get into 2027, we can start looking at margin expansion again? Or do you think this is kind of like the new normal? Sorry for the loaded question.
Helen Shan: Thanks for your questions, Alex. And let me kind of walk through. I think your question is both about '25 and then '26. So when we gave our range of 36% to 37%, where we had in there, of course, was a normalization of our bonus to begin with. And quite frankly, what we've shown in this year is the ability to not only expand but absorb some of the dilution from our acquisitions. So the biggest impact from a dollar perspective was on the bonus. And then I think the other piece, quite frankly, is some of the additional hiring that was supporting some of our investments. But had it not been for the dilution, we'd actually be above the midpoint of the range. As I think about the guidance going forward, I'll give you a little bit more detail to help walk you through that. So when we think about the investments from '25 that we believe has given us some of that, I'll call them, green shoots of benefit, when we think about 2026, I would think the breakout there is really into 2 pieces. I would say that we're investing about, let's call it, 250 basis points really in growth investments, 2/3 of it will be in growth investments and 1/3 a bit more structural. Now as we talked about on the call, the growth is in AI, in data and in PLC. All of that is meant to drive the top line. Structural will be on cyber and internal AI as well as helping to support further growth as it relates to our AI-ready data. So when we think about going forward, we're only talking about 2026 right now, so I won't go into any more details. But we would expect to get the operating leverage off of our structural investments and then expect top line growth from the growth investments.
Operator: Our next question comes from the line of Faiza Alwy with Deutsche Bank.
Faiza Alwy: And welcome Sanoke from me as well. Maybe I'll ask you, you mentioned that you think FactSet is well positioned to become the leading AI-powered financial intelligence platform. And then you talked about significant work ahead of you and alluded to new competitive dynamics. So maybe expand on that a bit. Sort of where do you think the focus will be for you over the next couple of years? And where do you think the end state is for you?
Sanoke Viswanathan: Thank you and thank you for the question. I appreciate it. And thank you, everyone, for the warm welcome. On AI, clearly, it is the biggest opportunity in front of us. We have already several products in the market. And as you've heard in our call so far, we are seeing real traction and we are really leveraging those to make these competitive displacements that are adding value and adding to the growth rate. What I meant by the work ahead is, this is an accelerating and really dynamic space. There is a lot of technology change. There is a lot of competitive dynamics as in new competitors, start-ups and traditional competitors, all in an AI arms race. So my focus in the next several weeks and months is going to be spending significant time with our clients to understand their top priorities, how they are transforming their own workflows and spend tons of time with teams internally that our product evolution and looking at our road map and understanding how we are meeting our client demand. So there is a fair amount of work to be done here, understanding our infrastructure, understanding our technology architecture and how it will integrate with our clients. But I am encouraged by what I've seen in just the last few days. Just within the last week, I have seen some really exciting projects and some products that I think you will also be excited when they come out in the coming weeks and months.
Operator: Our next question comes from the line of Ashish Sabadra with RBC Capital Markets.
Ashish Sabadra: Sanoke, let me add my welcome and congratulations as well. I just wanted to parse the strength that we are seeing in wealth. Obviously, very strong momentum, really good displacement of incumbents. But as we think about growth going forward, how do you think about more 7-figure deals there and as well as ability to add more through improved attach rate at existing clients?
Sanoke Viswanathan: Thank you, Ashish. I will ask Goran to add in a minute with all the more recent sort of conversations that he's been having. But as you know, I've just most recently been in my previous roles, very deeply ingrained in what's happening in wealth management. And I'd just start off by saying that the secular trends in the industry are all in favor of continued growth for FactSet. When you think about how a wealth manager thinks about their business, there is the ongoing activity of building the book and growing new business where there is an increasing application of analytics and AI in the business development workflows. And then there is the business of managing the existing book of business really efficiently and continuing to add value to clients and continue to improve their portfolio performance, where, again, we have a strong presence with our adviser desktops and all the tools that we bring to bear. And I see only increasing -- ever-increasing demand for high-quality analytics that will add value to the advisers. Goran?
Goran Skoko: Ashish, I would say, I think our opportunity is demonstrated by our success in the quarter. We had -- our strategy has been land and expand. I think we had 2 7-figure expansion deals in the quarter, both in terms of upselling our data as well as upselling into additional departments in addition to advisers. That will continue. We see that as a significant opportunity for AI and opportunity -- opportunities for AI solutions exist within the wealth management and we are taking advantage of some of them. There are still large 7-figure deals and large opportunity for us in the market, in addition to that, geographic expansion, expansion for our prospecting tools. So wealth will continue to be our growth driver for years to come.
Operator: Our next question comes from the line of Kelsey Zhu with Autonomous Research.
Kelsey Zhu: I was just wondering if you could maybe talk a little bit more broadly about FactSet's AI strategy, both on enhancing internal efficiencies as well as driving better client engagements. And in light of this, maybe also talk a little bit more about the moat of FactSet's Workstation in light of all of these emerging AI companies and start-ups. I know you previously guided towards 30 to 50 bps ASV growth in '25 from GenAI products. So just wondering actual results, how does that compare to guidance? And if you're expecting the same type of growth from AI products in 2026?
Sanoke Viswanathan: Thanks, Kelsey. That's a really a big expansive question. So I'll start off by just giving my general thoughts on how I see the strategy and what I've been learning in the last few days. And then Helen is going to cover your question around what the impact has been. And maybe, Goran, you can highlight some of the ways in which AI is translating into competitive wins. So if I come back to -- and I have to draw on my experience over the last decade or so, where I've been working to implement various sort of iterations of AI at very large scale in my previous roles. And one of the things that I and everybody else always underestimated was how complex it was to capture the value that -- the promise was always high but the process it takes to put models into production in highly regulated environments that our clients have is not easy. It's really complex. And it -- the core comes down to the implementation, the quality of implementation, the quality of the data, how reliable a partner are you working with? And you can see that those trends starting to emerge now as you talk to enterprise CTOs and CIOs who are trying to implement and data officers who are trying to implement this. So this is why I'm personally incredibly excited about the opportunity for us because of the open architecture design and fundamental sort of infrastructure that FactSet has built over the last 10 years, which enables us to partner much more actively and aggressively with both clients who want to bring in their proprietary data, FactSet's own data and insights as well as on the fly join up with third-party data that a client may find valuable. So I see incredible opportunity for us given that dynamic. Helen?
Helen Shan: Yes. Thank you, and thanks, Kelsey. So I want to keep in mind that, one, we launched many of our products in January of this year. So it's been terrific to be able to see some of that go through. A lot of this has to do with adoption. But to answer your question more specifically, when we gave the guidance of 30 to 50 basis points, I'm really happy to say that we were exactly in the middle. So we were able to accelerate growth right in the middle of the range and right within our expectations. I think that it's important also to note that those are stand-alone products. Those are monetized products. But quite frankly, so much of our conversations with clients is around both the strategy and the road map and how that influences their decisions. So I'll let Goran talk more because when you talk about the impact AI has, it's much broader than just the monetized products that we've been able to bring to market, so off of a PowerPoint page and on to actually used by clients.
Goran Skoko: Thanks, Helen. I just want to highlight a couple of things and I have to take the opportunity. We really had a fantastic sales quarter and lots of momentum going into 2026. And AI was significant contributor to that. About 60% of what we have sold in terms of our AI tooling and content came in Q4. And I think that really bodes well for what is ahead of us and the opportunity that Sanoke spoke about. So in addition to discrete sales of -- that we are referencing when we are talking about the numbers, our GenAI tooling and strategy has been pivotal in many of our renewals and new deals. So about 35% of our renewals in the quarter mentioned our GenAI tooling and strategy as a contributor to their decision to select FactSet in head-to-head competition versus others. So I think we are very happy with the progress and the momentum that these tools are bringing to us. We had 3 very large banking renewals in the quarter. And all 3 mentioned, again, our AI tooling as one of the key points in their decision to go with FactSet as well. I hope that answers your question.
Operator: Our next question comes from the line of Shlomo Rosenbaum with Stifel.
Shlomo Rosenbaum: Sanoke, I want to join the others in welcoming you. And I just want to put this out in terms of -- I know it's early on but there's been a lot of investment in AI and it seems like it's very exciting and embedded in a lot of products and a little bit of growth also coming from that. Do you feel that this investment is going to materially accelerate the growth rate for FactSet? Or do you think that with everything going on in the industry, realistically, all these investments that are going on are really to kind of maintain your market position of where you are. And realistically, that's what you need to do to just kind of hold on to what's going on. So trying to figure out, is there going to be -- is this just an increased investment that's necessary to keep you there? Or are we going to see a return to some kind of material growth? I know it's early on but you must have thought about this before you took this job.
Sanoke Viswanathan: Thank you. Thanks for the question. It is one of the important questions that every provider is asking themselves when it comes to what is happening with the AI-led transformation. My perspective is, these transformations go through different phases. And I think we are still in a relatively early phase of embedding of AI in our clients' workflows. And at this phase and FactSet has done incredibly well to get out ahead of competitors, the -- it is a discovery phase. And during this phase, clients are experimenting with lots of different ideas and tools. There are a lot of evolution in the dynamics of the technology itself and it's going to take some time to settle down. Usually, what happens then is there is a breakout phase that is well ahead of us in this context, where the winners start breaking away from the rest because the solutions are clearer, there is more client adoption. And when it really starts coming to committing real budgets, there is more conviction. And I think we are way early in the AI adoption cycle still for that and especially in our client base, which are, again, highly regulated, where the data and the outcomes have to be incredibly precise. And we are going to see that evolution curve ahead of us. So to your question, I think my perspective is what I see as the investments underway right now is allowing FactSet to be a leader in client conversations. It is allowing FactSet to have the right kind of progressive dialogue around where we see the market going. And I think a lot of this is going to translate into ultimately the real big winning products that are ultimately going to come out. And I have been personally quite excited about what I've seen in the last week as I've gotten deeper into it and I've been understanding the product road map. And there are some really exciting products and projects underway that will add a lot of value to our clients. I don't know if Helen or Goran want to add anything to that in terms of your perspectives.
Helen Shan: No, I think you've captured it well. I think the fact that we have some of these green shoots from the investments we already made is what gives us greater comfort and confidence of why we are investing more in those same areas of data, workflow and AI. And those are the winning combinations and I see that helping us grow going forward.
Operator: Our next question comes from the line of Jason Haas with Wells Fargo.
Jason Haas: I'm curious if you could talk about what trends you're seeing in regards to bank hiring. And then we've heard this idea that the banks are already pretty fully staffed. So even if we see a continued rebound in IPO and M&A activity that the banks don't need to hire a lot more because they're fully staffed. So I was curious if you could comment on that thought as well.
Sanoke Viswanathan: Thank you for that question. I'm going to just make a couple of general remarks about what I see in banking and then I'll pass it on to Goran to give a bit more color from especially the recent large wins that he has seen. What I see as the ongoing trend in banking is there's a continued strategic convergence across the full spectrum of banking activity from commercial banking, corporate banking, all the way to investment banking and deal making. There is a lot more of an integration that is happening at the universal banks in bringing these capabilities together and being able to go to market and go to their clients with a joined-up approach. There is a huge focus on CRM convergence and bringing together their ability to understand their clients, which has not been easy for especially the largest institutions. And there is a continued focus on banker productivity, particularly obviously enabled by some of the advancements that we see in AI. So there is a fair bit of technology dollars that is being committed that I've, at least in my experience over the last couple of decades, this is the highest intensity of technology and intensity of data and analytics being applied in banking that I've ever seen. And I think that's -- we are just at the start of that. Goran?
Goran Skoko: I would just add, I think so hiring in Q4 was a bit better than expected for us. So we did see contribution from banking hiring in our results. It wasn't material but it was better than we had modeled throughout the year. We are also seeing similar trends carry into Q1. So there is improved hiring in the sector. And I would also just want to highlight, I think this is the area where some of our productivity tools and some of our GenAI-related tools or AI-related offerings are really receiving the most attention. And I think we expect momentum in that regard as well.
Operator: Our next question comes from the line of Surinder Thind with Jefferies.
Surinder Thind: Helen, this question is actually for you. Can you help us maybe better understand some of the internal productivity initiatives here and what you're expecting, if there's anything that you can quantify? It seems that there's a narrative out there that AI should be a material beneficiary to margins. And yet in the near term, we're seeing all of this increased investment. So is this an idea where maybe you can do a lot more rather than doing, I guess, the same amount with maybe lower resources? Like how do we think about that trade-off? And what it means for headcount on a go-forward basis?
Helen Shan: Yes, sure. No, thank you for that. Now you're absolutely right. There is a narrative out there of material change in terms of costs. And I think from our perspective, there's a couple of things you need to get right. When we talk about internal, we've already had some of the increased output in what we've been able to do for CallStreet or StreetAccount. We've seen some of the benefits from an engineering perspective in terms of productivity improvements. But right now, what we're trying to do is get things done faster, be able to hit our deadlines quicker, bring products to market in a more efficient way, more -- in a speedier way, quite frankly. I think that's actually what you're -- we're seeing in our top line improvement. Now we do need to invest. And every company has the struggle of wanting to get their data connected in a way that can provide the insights, that can take away a lot of manual processes. As a finance person, we always talk about the death of Excel but I'll wait to see when that happens. But quite frankly, we do still have a lot of manual pieces out there. So my view is that you'll see a slowdown in employee growth but a lot of our improvements will be about redeploying that talent and then we're going to see that translate into greater productivity and higher output, which will drive top line growth. So that's where I see a lot of the efficiencies come from.
Operator: Our next question comes from the line of Craig Huber with Huber Research Partners.
Craig Huber: Congratulations as well. Wanted to ask you, we're looking at a, obviously, a stock market that was up 23% to 24% each of the last 2 calendar years, up about 12% year-to-date here, probably can do a whole lot better than that. You do cite that the environment has been holding your revenue growth back and it's been up 4% to 5% organically, as you know, in the last 6 quarters here, looking at my model. What has to change in the environment out there in order to get accelerated organic revenue growth aside from this AI that you've been chatting about here. What else can you point to here to help give us some confidence that the organic growth will accelerate above this 4% to 5% trend you've had the last 6 quarters?
Sanoke Viswanathan: Thanks, Craig. Let me just make a couple of remarks and then I'll suggest Goran gives a little bit more color based on our client conversations. I think beyond AI, my perspective on what's happening in the industry, right across all of the major clients that we serve is there is a continued increase in the use of analytics through and through the trade life cycle, the portfolio life cycle, the client life cycle. And I think that is an accelerant -- that AI is an accelerant to that. It was always happening but AI is driving an acceleration in that trend, which leads to the demand for services such as FactSet, where we see growing opportunity across the board. And that's, again, starting to be reflected as you saw in this last quarter. Goran?
Goran Skoko: So just maybe to continue on that note, so we did accelerate significantly in the quarter from 4.5% to 5.7%. There is no change in the market conditions during this period. We believe we can continue this momentum. We have a new set of maturing products. We keep talking about GenAI but our exchange data feeds, our price reference data feeds, our managed services offering, all of those will contribute and we do not have to see a significant change in the market conditions to accelerate. We have to execute on what's ahead of us but we have plenty in our toolbox to accelerate our growth.
Helen Shan: And maybe I can add on a bit to what both Sanoke and Goran have said. If I think about the trends that are out there, there are 2 pieces in particular. We have clients who are upgrading their own tech stack. They're moving from what, quite frankly, on -- I think we've used this stat before that less than 30% of them have even moved to the cloud. So that is a natural place for clients to reconsider who they want to use going forward. So that's one piece of it. The second is, quite frankly, the need for more data and not just data for the sake of data, data that's quality -- that is of quality, that's been tested, that we have decades of historical information and that is all concorded. And I think that's reflected this year where we have double-digit growth in our data ASV. And so I think that is a harbinger for what we see going forward. So between -- and the third piece, which Goran touched on, is that as things become more sophisticated, managed services is a great way for clients to be able to then essentially focus on what they're best at, which is generating alpha and then moving towards using us where we're able to use our own technology, our AI to be able to do a lot of the middle office pieces in a more efficient manner. So I would look at 3 things in addition to what was already been said that they're not really based off of a better stock market. One is the ability for the change in the tech stack, the focus by clients on what they're best at and the movement of actually even greater data needs, quality data needs, refined data needs that I think we're best at.
Operator: Our next question comes from the line of Toni Kaplan with Morgan Stanley.
Toni Kaplan: And I'll add my welcome to Sanoke as well. My question is for Helen and it's sort of a longer-term question. But at your Investor Day in November, you had expected 37% to 38% adjusted operating margins in the medium term. Obviously, at the midpoint of the guide here, you're below 35%. My question is, do you think that 37% to 38% is off the table at this point for the next few years? Maybe what has changed from 10 months ago? And so a little bit of a longer-term margin question in terms of where this goes.
Helen Shan: Thanks, Toni. Appreciate it. Let me talk a little bit about what's underneath the investments and the productivity that we're going through in '26 and that will give you a little bit of a sense. But I am going to focus on 2026 as opposed to the medium-term guidance. We're not making any changes to that. And when we do, we'll obviously come back and talk to that. But in the investments that we're making, which we believe will drive that top line growth was the data expansion, the wealth, the PLC for what we call the portfolio life cycle, which now wealth is very -- advisers very much want. That's a driver on top line. And then, of course, as Sanoke has already talked about, everything we have is going to have AI. So that's going to be a driver. That's meant to help on the top line growth. That's about -- of what we're investing, which is about 250 basis points, 2/3 of that is coming into those buckets. The other 1/3, which I'm calling it structural, is really around things that will help on the efficiency side or give us the operating leverage going forward. For 2026 alone, we have about 100 basis points of what I'll call cost reduction in the productivity, in lower professional fees and lower third-party content. So I sort of think about those going forward as we're going to get better and better on the productivity front and we're going to get leverage both on that piece and driving our top line. So I'm going to stick with talking to 2026. I understand your question but that's how we're thinking about it at this moment.
Operator: Our next question comes from the line of Scott Wurtzel with Wolfe Research.
Scott Wurtzel: Sanoke, welcome. Just wanted to stick on the investment and margin side of topic here. I mean, Helen, just wondering if you can maybe talk about, especially on the sort of growth investment side, if there are any specific payback periods you are sort of looking for when you guys are making these investments.
Helen Shan: Yes. No, thank you for that. So I'm going to answer that in a couple of different ways. When we're talking about something that we're building out in a much -- which requires more, I'll call it, infrastructure costs like real time or like deep sector, which are much bigger investments and require more time, we have a period that we look at for a payback, which is around 3 years. It's kind of similar to how we think about with our acquisitions as well. And then there are other things that we expect quicker paybacks for, especially as it relates to the sale of content. So I would say it's less than that period of time. And I think quite frankly, the scale on the content side can be quite quick. So that's how we measure the speed at which we can cover our costs.
Operator: Our next question comes from the line of Peter Knudsen with Evercore ISI.
Peter Knudsen: I'd love to ask -- touching on an earlier question about pricing contributions. I know in the past, that's been a little bit under pressure. And last quarter, I think you said that's stabilized. So I'm just wondering if you could talk a little bit about your outlook for pricing contributions on new business in '26.
Helen Shan: Yes. Thank you for the question. I'll take that one as well. So when we talk about pricing discipline, that is something that we go across the board. We believe the value we're providing our clients is appropriately priced. We have actually not seen too much change, as you referenced over the year. There's been a little bit on new business and it really depends on certain firm types. I would say, of the various ones, we've managed to be able to maintain within a 5% range of our price realization. So we're not doing more discounting than we have before. We've actually saw an uptick in Q4 in terms of new business. So both in terms of ASV and in terms of number of deals. And our annual price increase, which is what we've done in the past, was in line. And so we're not assuming anything different in our 2026 outlook.
Operator: Our next question comes from the line of Manav Patnaik with Barclays.
Manav Patnaik: Welcome, Sanoke, as well. Just Sanoke, maybe just for you, just curious on your thoughts on capital allocation and particularly in this AI race that you talked about, whether dealmaking is going to be a focus for you. And Helen, I just wanted to follow up quickly. You mentioned a few times investments in cyber. I was just -- I was hoping you could elaborate on that. And I'm guessing it's more internal security but just some thoughts on that.
Sanoke Viswanathan: Thanks, Manav. It's an important question. As I think about this, my first priority is to continue to really understand our product portfolio and the strength of our product road map. I've already started doing this. And what I observe is, we have a really strong product set. And there is a huge amount of energy going into the innovation in the company. And historical acquisitions that have been made are also well integrated and adding quite a lot of value to our clients. So in the coming months, I'm going to investigate this and obviously, in much more detail, both in terms of hearing what client priorities are and how they are shifting and from our internal teams to understand our road map and where we are finding traction. And that will ultimately optimize the approach in terms of organic versus inorganic growth. What I'd like to add, though, is that I'm not a believer in growth at any cost. I think it's important that we are prudent with our investments and with our capital allocation. And we'll continue to do that in the way that FactSet has done over the years. And frankly, I see so much opportunity for growth with the capabilities that are already in place here at FactSet.
Helen Shan: Manav, your question on the cyber front. So yes, that is meant for internal. I think as we continue, obviously, to invest in AI, that's an important piece of it. And when you have over 6 million of portfolios on the asset management side and over 15 million portfolios and growing on the wealth side, we want to make sure that we are providing the best we can in terms of the security. So that's why that is part of the driver of our focus.
Operator: Our next question comes from the line of George Tong with Goldman Sachs.
Keen Fai Tong: I'd also like to extend a welcome to Sanoke. So your fiscal 2026 guidance for organic ASV growth of around 5% at the midpoint points to a deceleration from growth you saw in fiscal '25. Can you talk a little bit more about the drivers of this deceleration and what you're seeing competitively maybe contributing to it?
Sanoke Viswanathan: George, thank you. Let me start and then I'll hand over to Helen. It's obviously day 9 for me today, and it's been a busy week and a bit. And I must say, through that period, I've had extensive discussions with the leadership team and the Board. And the guidance reflects our view of the business today and the dynamics that we see in the marketplace and balancing that with our commitment to our -- to long-term growth. So we clearly see continued growth opportunities in the areas that we've already talked about, whether it's wealth, data solutions and frankly, in quite a lot of the other places that I've seen. And we are continuing to make investments that are disciplined and balancing AI investments with all the other investments that we need to make where we see opportunity. So the guidance reflects the state of play today. Clearly, I'm going to be spending a lot of time in the coming weeks and months with our teams and with clients and come back and talk about long-term vision and opportunities and strategy in the coming months. Helen, would you like to add anything?
Helen Shan: Sure. No, happy to do that. And thanks for your question, George. As noted on -- in the script, I mean, we are taking a more conservative approach to our guidance exactly for the reasons that Sanoke just talked about. It is not due to reduced confidence either in market demand or competitive positioning. As we talked about in the top wins that we had, most of those were competitive wins. I'll ask Goran to talk about the pipeline but the midpoint is just conservative in some cases, because we know that there are longer sales cycles. We know that we can tell from some of the good green shoots that we've had on the AI front that you need to have the adoption from the client side and that can take a little bit longer, especially as they go through their own compliance checks as well. And then we know there are some headwinds as it relates to some of the policy changes in Europe. But quite frankly, we feel very good about where we are, the fact that we are above our midpoint for this year. And just to keep us all in line, last year, we were at a range of [ $90 million to $140 million ] and we're up this year. So I think it just reflects a conservative -- and we're going to do everything we can to beat it.
Goran Skoko: So I would just reinforce what Helen just said. I think our guidance is conservative, with a high level of confidence we'll be able to execute in the range we provided. That range is identical to last year. We feel good about the momentum. Our pipeline is a bit improved year-over-year. It's early in the year, so it's a little bit difficult to talk with certainty but we do see improvement. And we saw, quite frankly, significant acceleration in the pipeline over the last 5 weeks. So that is one of the main data points that I look at when -- as we are entering the year. So we have a high degree of confidence we will execute on the range we have given you.
Operator: Our next question comes from the line of Andrew Nicholas with William Blair.
Andrew Nicholas: I wanted to touch again on AI. I hear your conviction on the medium-term opportunity and your belief in your competitive position. But I'm curious, I guess, one, how you'd characterize your suite of AI products and the specific kind of execution around that relative to your peers at this early stage? And then maybe conceptually, how important is it for you to be first? Or does the stickiness of your product, how heavily embedded you are with clients allow you to be a little bit more deliberate with product development, product investments, product rollout?
Sanoke Viswanathan: Thanks, Andrew. Really important question. And as I said earlier, we are very much in the sort of the early stages of the AI adoption curve with our clients. When I look at the products that we have out in the market and as I get to learn more about what's being -- is still in the development phase, I think they are really very finely tuned to add value to our existing product, services and solutions with our customers. So an example being portfolio commentary in the buy side, or Pitch Creator on the banking side. These are natural adjacencies and absolutely synergistic with the kinds of solutions that we offer traditionally to our client base. So I think the competitiveness of these products, I believe, is high. We are going to see continued traction with it. And the investments that we are making and what I see in the hopper are all constructive and logical and natural extensions of where we are today. But to your question around the adoption curve and do we need to be first mover, I believe there is a trade-off between being too early and getting things wrong and being too late and missing sort of the market share and the opportunity to leapfrog competition. And this is a fine balance to strike. It's early for me to say if we've gotten it absolutely right or not. But I am confident that there is a lot of great talent here at FactSet and I'll be working with the teams to get that balance as right as we can going forward.
Operator: Thank you. This concludes the Q&A session. I would now like to turn the call back over to Sanoke Viswanathan for closing remarks.
Sanoke Viswanathan: Thank you. Thank you, everyone, for joining the call today. As we begin fiscal 2026, it's an exciting time. Our strategic investments are driving strong momentum across the business as we execute on what matters most to our clients. As I stated earlier, we are uniquely positioned to become the leading AI-powered financial intelligence platform for our clients. We provide unparalleled client service. We are deeply embedded in our clients and we are uniquely geared for collaboration. I look forward to meeting many of you over the coming weeks and days. Operator, that ends today's call.
Operator: Thank you. This concludes today's conference. Thank you for your participation. You may now disconnect.